Steffen Hoffmann: Good morning, ladies and gentlemen, I warmly welcome you from the Carl Benz Arena in Stuttgart to the annual results conference 2020 of Daimler. My name is Steffen Hoffmann, and I'm Head of Investor Relations.  Due to the COVID-19 pandemic, this year is different than usual. We had to do without the traditional get-together on the evening before with you and our Board members as well as the usual physical conferences with analysts and investors as well as media representatives here in Stuttgart.
Jorg Howe: Good morning also from my side. A warm welcome to our video stream from the annual results conference 2020. My name is Jorg Howe, I'm Head of Global Communications at Daimler AG.  As Daimler AG, we are presenting our business results for the first time jointly to you, ladies and gentlemen, the press as well as the analysts and investors. We want to provide you with the key figures over the past financial year, our outlook for the current year and the strategic plans at Daimler. After the presentation, I will host a short deep-dive regarding some important topics with our 3 executives. In total, our presentations will take about an hour and will be broadcasted live via video webcast on the Internet. You can follow our stream with simultaneous translation into German and Chinese.
Steffen Hoffmann: Of course, our executives will be available for your questions. Therefore, there are 2 consecutive conference calls, one for analysts and investors from 10:15 a.m. to 11:15 a.m.
Jorg Howe: Moreover, we have one call for media representatives from 11:30 a.m. to 12:30 p.m. Both conference calls will be webcasted on the Internet and will be available on daimler.com. The annual results conference ends after the conference calls approximately at 12:30. You can follow the whole event in one stream.  For an active participation in the conference call for analysts and investors, you already received your dial-in data. Participants of the media conference call received a personalized access data as a confirmation of their registration by e-mail beforehand.  And now I would like to welcome our speakers: Ola Kallenius, our CEO; Harald Wilhelm, our CFO; and Martin Daum, our Head of Trucks and Chairman of the Board of Management of Truck AG.  Now Ola, as soon as you are ready, the stage is yours.
Ola Kallenius: Thank you, Jörg. Thank you, Steffen. And again, welcome, everybody. The year 2020, I believe, was a stress test for almost every company in almost every industry. And I would like to start this results conference by thanking the Daimler team around the world. You helped us master this stress test very well. Again, thank you.  I think we have learned to work differently in 2020. And even though we all hope to return to some kind of normality soon, there are some things that we have learned that we want to take with us into this exciting future. And it's about agility and flexibility, speed of decision-making, which was something that was highlighted during the year 2020.  If we look at Daimler, what are the main things that we achieved when we look back at last year? We gained some significant traction in terms of improving our financial results, especially in the second half of the year, and Harald will go into more detail about this. We stepped up our efforts in terms of restructuring and doubling down on cost efficiencies. But we also used the time of this, let's say, managing through a pandemic to think, to think about our strategy, refocus our strategy, underline where the strengths of this company lies. And we're certain that we're going to exploit these strengths going into the future.  We also made at the beginning of this year a very big decision. We are proposing to our shareholders that we should divide Daimler into 2 strong individual industrial businesses: a leader in luxury passenger cars and a global champion in trucks and buses. And of course, with the momentum that we gained in the second half of 2020, we're looking forward to this year 2021 and hope as the economy gradually opens up that we will gain momentum.  If you look at the headline figures, and we will get into the detail here in a second, I think there are 2 things that stand out. On the one hand, due to the pandemic, sales went down and, of course, accordingly, revenues went down, too. But what really stands out is the result of disciplined cash management. So you can see that we were able, in adverse conditions, to improve our free cash flow, and we'll explain to you the components of that in this presentation. And that has led to a very strong net industrial liquidity position at the end of 2020 of around €18 billion.  If we now go in and look at this from a divisional point of view, let's start with Mercedes-Benz. What happened in the year of luxury cars? Well, again, we underlined Mercedes-Benz is the leading luxury car brand. And we intend to build on this strength going into the future, especially with regard to electrification. We almost tripled our xEV sales. We met the very stringent CO2 targets in Europe. And I think this is a good proof point towards our move in the direction of zero-emission driving. With Ambition 2039, we have made a clear commitment to a CO2-neutral future for Mercedes-Benz. As I said, we refocused our strategy, looked at what the USP of Mercedes-Benz is, looked at where we can play and where we can play to our strengths and, in transformation, made a very, very clear commitment to be a leading force in terms of electrification and also car software. We launched our flagship car, the S-Class. Every time we launch a new S-Class, this is more than just another baby in this precious family. It is an event that all people at Mercedes is proud of. And if you look at the technical marvel of the new S-Class, especially in the dimension of the digital experience for the customer, this has wowed customers around the world. And our order entry, compared to the last S-Class that we launched some 7 years ago, is more than 30% above the level that we had back then.  And we have successfully implemented measures, not only to improve cost efficiencies, but also to do restructuring, made some tough decisions in 2020 to adjust the footprint of our production network and are well underway on a longer journey to lower the breakeven of this company and make the fixed cost structure, in particular, even more competitive and even more robust for swings in the market.  If I take a look at this from a market and sales point of view, you can see how the pandemic hit the world in the first half of this year. China, China had a remarkable recovery. I mean this is what I call a true V-shaped recovery. And after the dip in February and March, we came back quickly and almost instantly for Mercedes-Benz, jumped above last year's level. And we set a record in China in 2020 with more than 770,000 vehicles sold. In Europe, a little bit different picture. The lockdown had a longer effect, and it took us to the second half of the year before we could recover and get close to around the levels that we had in 2019. And of course, again, in Europe, we're experiencing now through this second lockdown some effects here early in the year that we have to deal with.  In the United States, see-sawing a bit, but towards the end, also getting back to levels that resemble 2019. And we started strong in January as well in North America. So we are hopeful that the market momentum, as the vaccines get rolled out, will pick up momentum throughout this year.  I mentioned the CO2-neutral future. This is a strategic decision for this company. There are no ifs or buts. And the first real test and proof point was to see if we can come from the level we were at in 2019 to meet the very stringent targets in Europe. According to our internal calculation, with the sales footprint that we had in 2020, our target in the NEDC cycle was 106.6 grams, and we came in according to our calculation at 104.3 grams. So we even had some margin. How were we able to do this? Strong performance of xEVs, battery electric vehicles and very attractive, very sought-after plug-in hybrids. So we sold more than 160,000 of those in 2020, and much of that momentum came in the second half of the year.  Now as you all know, we're switching to a new method, WLTP, for 2021. So even though the target in this new cycle looks higher with 125, the challenge is just as big in 2021 as it is -- as it was in 2020. But we are committed, and we have this as a clear target to meet this in 2021 as well and, of course, beyond. And how are we going to do that? Well, we're going to build on the momentum of our xEVs, the battery electric vehicles, the plug-in hybrids. And we could perhaps maybe even double the sales as a share of overall sales in this coming year. Our Van division, the premium van in the commercial vehicle world. Last year, when we met around this time, we were looking at figures for the Van division that were not living up to the expectation or the ambition that we have. Well, I can say this now, our Van division is back. And I also want to thank the Van team for a very strong turnaround during these last 12 to 18 months. We are the market leader in premium vans, and we have the industry's richest mix. That is also a little bit similar, too, on the passenger car side, the play that we're going for on vans. So we could pick up in terms of our sales performance. Europe is our most important market. So in spite of Europe taking to the second half to get back, I think we were even a little bit ahead of our most relevant competitors. We also took the same tough cost measures in the Van divisions as on the Car side, and it's starting to pay off.  In terms of electrification, we now soon have the complete range of vans from large to small electrified. Next year, we will launch the electric Citan. And then literally, every van segment will be electrified. This first generation has been received well in the market. But the second generation is only a couple of years away. So we're going to pick up pace in terms of xEVs, vans also, and we have already set off the concept work for the third generation. Stay tuned. Maybe electrification will come to vans quicker than some people think, and we are quite excited about this.  In terms of the financial numbers, and I'm going to let Harald dig into the details, for Mercedes-Benz Cars, it's very similar to the picture that we looked at for Daimler as a whole. Of course, due to COVID, sales down and revenues down, but a strong cash flow performance.  Harald, why don't you take us through and give us some more details on those numbers?
Harald Wilhelm: Thank you, Ola. Well, I mean let's have a look at the profit walk from '19 to '20 on the EBIT adjusted, i.e., the underlying performance. How did we get to €6.8 billion of EBIT adjusted? Well, I mean the most material headwind, obviously, were the lower unit sales in 2020. That was a key negative. And the market recovery in the second half could finally not offset what we lost in H1 sales. Despite that, I mean we got to 6.9% return on sales adjusted. I mean how could we get there? Strong pricing, good residual values, a strong product mix, in particular, at the higher end of our segments. We faced a bit of a headwind from the FX on the dollar, but also on the Turkish lira. But then really, we worked on our efficiencies all across. Yes, we were helped, we were supported by the short-term working benefit. But we went far beyond that. In the industrial performance, went on the operations side, we reduced the fixed cost over there. We improved the efficiency. We worked on the material cost. And then you see that in the chart, at €300 million of the industrial performance improvement, you could say, I mean that's a rather low number. But bear in mind, please, that there is a significantly higher level of amortization and depreciation sitting in there, which has been by far overcompensated.  And then the big move, yes, was in SG&A. So in the classical conventional fixed cost area with a strong impact, I mean, on selling, on marketing expenses, but it went all across. It also includes, I mean, the benefit which we disclosed earlier in the year from some adjustments from health care in the U.S., i.e., also, I mean, a favorable impact. On the R&D side, also, we could adjust, I mean, the R&D, however, without jeopardizing the investments into the future despite the capitalization rate being lower in 2020 compared to 2019. In the others, you have a bit of a benefit from capital gain from the new shareholder arrangements in the HERE Group. I also like to emphasize what Ola said before, the recovery of the Van, which sits here in the segment. You don't see it, but with a very nice financial performance in the year 2020.  If we look on the adjustments on the right-hand side of the chart, all in all, €1.6 billion. Basically, the key one is about €900 million from the streamlining of our production network, the divestment of Hambach and the others, which we talked about already earlier, I mean, in 2020. And then, all in all, around €600 million for the personnel cost restructuring program in 2020.  Now let's have a look at the cash flow side. Apologies. No, we're not yet on the cash flow. I wanted to come back to what we promised to you in the Mercedes-Benz strategy update on the 6th of October, as we promised to you quite a lot for 2025, where we want to go in terms of savings, in terms of investments. You see the numbers, as a reminder, on the right-hand side of the chart.  So where did we get to in 2020? Well, you see some indicators of change here. The headcount came down by 4% for Mercedes-Benz. We adjusted, I mean, the fixed cost across all the areas by 14%. We took the CapEx and the R&D down. We said we would do more on the CapEx and less on the R&D. I think that's what you can see from the numbers as well. So yes, I think we worked hard on these targets on 2020, and we stay fully committed to deliver them on 2025 and, if we can, for sure, earlier.  Now I come to the cash flow. How did we turn that profitability into cash? Well, at a pretty decent cash conversion rate, I mean, above 1, 1.2 actually. So we worked a lot on the cost. We worked a lot on the cash preservation measures, but you also see a favorable impact from working capital management, stricter working capital management. Inventory, in particular, was helpful in this respect for the new car segment, but also for the used car segment. And please bear in mind as well, on the new cars, I mean, with volume coming down, you could say, mechanically, yes, it has to come down. But at the same time, we had to cater for a ramp-up in the inventory for that beautiful product, i.e., the mix in the inventory, in the euro inventory had some headwind from the mix to get ready for the ramp-up of the fantastic S-Class in 2021. We also had favorable impact from receivables. The other key element in the walk, however, is on the investment. Here, we reduced the level of investment by about, I mean, more than €2 billion compared to 2019. At the same time, the depreciation came up a bit. But all in all, it means that investments and depreciations are now much more in balance. And obviously, that translates into improvement of the cash flow. In the other bucket, basically, you see an excess of dividend cashed in from BBAC over the ad equity result, and the noncash impact from the restructuring provision is -- I mean that is yet to be cashed out, I mean, in the future. So all in all, that leaves us, I think, with a pretty decent cash generation in 2020 and a good foundation for 2021. With this, I'll hand over to you, Martin.
Martin Daum: Thank you, Harald. And we move over to the exciting world of heavy trucks. We are similarly impacted by COVID in 2019, especially in the first half. Fortunately, second half was much better. The tide started to turn in the third quarter. We ended the year with a good momentum. And even better, we ended the year with this backlog that is significantly better than at the end of 2019. So 2021 has a very promising start, especially in North America where we had in November and December historic order intakes at heights never seen before.  2020 was first focused on cash preservation, cash management and, you'll see, ended with a good nice cash flow. On the other side, we exercised cost discipline, never seen before, with strong focus on restructuring and ongoing success and with good success. But there's one thing where we didn't put the foot off the pedal, and that is when it comes to product because product is the key to make our success -- our customers more successful. So we had one big highlight in the third -- in the fourth quarter when we launched in North America the new vocational Western Star truck that is in that segment, now the most modern truck, fully in our product line with full-scale effects from all the products around the world and still the best vocational truck in the North American market. We pushed in our initiative to zero-emission vehicles, sold more electric vehicles than every other truck OEM, have more trucks on the road logging in everyday miles, giving us great experience to improve our products even better with more launches of more variants of our electric products coming in 2021. In parallel, we started with full force on the fuel cell development and fuel cell serious production development where we are going to close pretty soon our partnership with Volvo and then having pretty soon trucks with fuel cells on the road as well. We accelerated our automated driving through our 2 partners: the one with Waymo, where we joined our forces to develop a redundant chassis; and on the other side with our own subsidiary, Torc Robotics in Virginia, where we work on the software package that makes those trucks able to run driverless on the highway. And we are here starting our on-road testing this -- right this very moment. When you look at the sales numbers, you see the second quarter where we basically shut down all our factories in April and May last year for about 8 weeks and the impact it had on the sales figures. And it took us until the end of the year to ramp that up. The result was, in Europe, a decrease of 20% of our sales volumes; in North America, a decrease of 30% of our sales volumes; in Japan, just 14%; but then Indonesia, which for us is a big market and we have a 50% market share in that market, so we had a drop of 50% of our sales in this important market; and in India of 35%. And that hit us hard. But as I said before, the momentum going into the next year is rather strong. On the results side, that resulted in a 27% sales decline, and our revenue decreased by about 22%. On top of everything, aftermarket got pretty difficult because if trucks are not running, then the aftermarket business is definitely stalling as well. As I said, second half, completely different picture, a good rebound. And that helped us after a loss situation at half year point to end up not with a solid, but with a good profit and especially with a good momentum going forward into 2021. Cash flow conversion, very important for us. And it shows that we have a strong and solid business. It's far higher, so we were able to nearly end on the same cash flow level than the year before. When we look at the detailed walk of our EBIT from 2019 to 2020, you see, first of all, that we lost more through sales and market than we gained in the entire year before. We had a slight negative, what we call here industrial performance. That has basically 3 reasons. On the one side, we put some money into our warranty reserves to have really here very good reserve for the future. We have, secondly, had in the second quarter some uncovered production costs when we ramped down our factories around the world. And then now with the ramp-up, we live with the very, very strict health protocol which is in the truck manufacturing plants. Not that easy, and it gives us some inefficiencies which roll into that number as well.  What helped us to come out with a strong EBIT result, especially in the second half, was the strict cost discipline throughout the entire year, first and second half that -- where all areas, sales, R&D, production, everyone was participating. So we ended up with a €678 million EBIT and 2% return on sales. We spent about €150 million for restructuring costs in Europe, and it's a good sign for our performance in the years to come because it helps us to save future costs.  When you look at the walk from the EBIT to the cash flow, on the one side, we had a record low in working capital, great management on inventories, whether it's new or used trucks, whether it's receivables or payables, very, very good job from everyone around the world. We have -- we invested wisely and could -- everything financed with our depreciation, and then the provisions helped us to bump up the cash flow to €2.5 billion.  So much in a nutshell from the tax side. Back to you, Harald, about DMO.
Harald Wilhelm: Thank you very much, Martin. Well, so let's have a look at Daimler Mobility. I mean, obviously, COVID-19 impacted Daimler Mobility, I mean, a lot on the existing portfolio. And the priority definitely was to help our customers who had a very difficult period in 2020, and we'll continue to do so for sure, with swift and flexible financing solutions. And we're definitely convinced that, that will pay back in terms of customer loyalty and retention.  Second one, obviously, to continue to support, I mean, cars and the trucks for new sales. So again, every second vehicle, I mean, delivered got supported by smart financing and leasing. At the same time, we continue, I mean, the full effort to digitalize, I mean, the business on the customer front, on online services up to credit decisions, i.e., automating creditor decisions. And COVID as well made it that we went even stronger on the brake in terms of cost discipline and cost-saving measures. That means the OpEx developed very favorable. And that means that even in a year of COVID-19, the cost/income ratio improved further at Daimler Mobility. The macroeconomic circumstances made it that we had to adjust our credit risk provision in the first half. However, we could flatten that out in the second half, in particular, in quarter 4.  So if we look at, I mean, the key KPIs, well, the new business, I mean, came down by 9% towards the year-end. However, it stabilized again. The total contract volume, the portfolio, I mean, decreased by 8% to €150 billion, of which basically the volume adjustment is 3%, the remainder is FX. And on the EBIT side, EBIT decreased. EBIT adjusted decreased by €1.6 billion to 10.9% return on equity adjusted.  Let's have a look at that walk, I mean, how we got there. Well, the key impact, I mean, as we can see on the chart, comes from the higher credit risk provision. It's a credit risk provision, as you know. That means we have to cater for the potential risk related to credit given the macroeconomic, I mean, volatility in 2020. That happened chiefly in the first half of the year, and no further increase was required, I mean, in quarter 4. I really like to emphasize that the net credit losses, i.e., the actual net credit losses, are still well below the long-term average. And then we worked on cost efficiencies. While you don't see it completely as on the volume margin, there is an impairment on software in the context of the streamlining of our IT portfolio. Without that, I mean that would be in the positive territory. And then overall, you see the beneficial impact from our cost efforts also at the DMO level, improving the cost/income ratio, as I said before.  Also, I mean a number in there which looks a bit tiny, but I think it's a pretty remarkable result, in the others section, €60 million improvement year-on-year coming from the mobility services. You know that has been impacted, I mean, severely in 2020 as well. I mean the guys over there in FREE NOW, in SHARE NOW, charge parking did also, I think, a great job, I mean, to adjust in terms of market practice as well as on the cost side. A big thanks to them also.  Now if we look at the group level, in terms of EBIT evolution, well, I mean the key things that we explained already before, the divisional performance. So the year-on-year decrease in EBIT adjusted at the DMO and Trucks could not be completely overcompensated by the year-on-year improvement on the passenger car and the van side. Other than that, I mean I would just like to mention the adjustments which we had to record in the full year with €2 billion, definitely significantly lower than 2019. And the key ones are associated to the restructuring program, the personnel cost reduction program, the MOVE program by €900 million and the capacity adjustment at cars and vans, as I mentioned before.  If we look at the cash flow statement, basically, we saw all of the key explanations, I mean, before. In summary, at a group level, I mean, we see that from a pretty decent cash from operations, we had a benefit of -- on the working capital, and that makes, I mean, altogether, a good contribution from the cash flow before interest and tax. Then, I mean, we had cash taxes of €800 million, so a pretty low level. And that made, I mean, €8.3 billion and on an adjusted basis, €9.2 billion. Basically, what is in between in the adjustments are the cash-out associated to field measures on diesel vehicles.  We look at the evolution of the net industrial liquidity. We started the year, I mean, with €11 billion. You see the strong cash from operations. At the group level, I mean, €2.5 billion of favorable working capital evolution, which we commented before. And then overall, I mean, the balance between the investments and the depreciation. After the dividend of €1 billion, which we paid in July, that leaves us with a very, very solid €18 billion net cash. I was very pleased to see recently that Standard & Poor's revised the outlook on Daimler from negative to stable. I hope others will follow soon. That leaves us, again, with €18 billion of net cash balance. And obviously, that leaves us -- or gives us a lot of financial flexibility.  Now let's have a look at what to do with the net result. I mean the net result reached €4 billion. So we looked at the EBIT adjusted before, so down to €4 billion. What is in between? Basically, the tax rate, the effective tax rate, which is a bit higher here at 37%, I mean, in 2020. That is a function of some evaluation allowances on deferred taxes and some expenses which have been nondeductible. Moving forward, however, you should continue to apply a group rate -- tax group rate between 28% and 30%.  Looking at the dividend proposal. The Management Board and the Supervisory Board, I mean, proposes to the AGM a dividend of €1.35 per share. That is applying our dividend policy of 40% on the net income eligible, I mean, for the Daimler shareholders. That is obviously supported by the cash flow in 2020 or that is supported by the cash flow in 2021. That is supported by our positive business outlook, which you see in this presentation.  With this, I hand back to you, Ola.
Ola Kallenius: Thank you, Harald. Thank you, Martin. Now let's look forward to 2021. What is our task list for this year? And it looks quite simple: raising performance, accelerating technology, electrification and software and preparing Project Focus. But let me put this in context. We are fully committed to executing our strategy and, at the same time, keep up the discipline in terms of cost efficiencies and cost restructurings.  If I start with this first thing, raising performance. We could see in the presentations of Harald and Martin that we did a phenomenal job in terms of cash management. Not all of the savings that we were able to realize in 2020 are things that you can repeat in 2021. There was short-term working here in Germany, travel costs were virtually nonexistent and some other expenses. If I use an analogy in our personal lives, I certainly spent a lot less money in the last year on getting haircuts. It kind of works, longer hair. My wife hasn't asked for a divorce. So you could argue, why don't they just continue doing that? But jokes aside, some of these things, cost will start creeping back up in some areas again as the economy opens up. So what do we need to do? We need to refill that bucket. And this is mainly a message to the people inside the company and in management, in particular, to stay vigilant and stay disciplined that we keep this path of raising our financial performance year-over-year on the path to 2025, the plan that we have put together and presented in the fall.  So what are we going to do with the money? Next to, of course, giving our shareholders their expected and fair share through a dividend, we are going to invest in technology. And there are 2 technological areas, in our view, that will decide who's going to be a winner and who's not in transformation, and it's electrification and it is software. And we are heavily and swiftly ramping up our investments in these areas. I mentioned before four battery electric vehicles that we launched this year on the car side. Martin mentioned it, the electric Actros is going into production this year to add to the fleet that we already have in the field. And on the van side, electrification across the board. But also building up software architectures and the new high-computing networks that cars of the future will have will also require a significant amount of investment. So we're putting this money, this cash generation into good use, preparing ourselves for the future.  And of course, next to running the business and making sure that we execute our strategy in a disciplined way, this is the year of Project Focus. It is our goal to, within this calendar year, to get that process concluded. And we will go to the shareholders in an Extraordinary Shareholders' Meeting probably at the end of the third quarter and make this proposal in a concrete way and are targeting to execute that transaction for these two strong pure-play industrial groups by the end of the year.  So if that is our task list, Harald, what does that mean in terms of guidance for this year?
Harald Wilhelm: Well, continue to save some money. I mean I tried to do so as well, but it ended up in an accident when I tried to cut my hair myself. So my wife had to, I mean, help me out on this one. Well, I mean, let's look forward in terms of what does it mean for guidance. Before taking you through it, I mean, in more detail, I'd clearly like to highlight, I mean, the assumption under which we give that guidance, and that definitely refers, I mean, to COVID-19, that we assume, I mean, no further, no third significant lockdown and setbacks from COVID-19 throughout the business year 2021. Second key assumption in here, we see some impact on the semiconductor situation in the first quarter of 2021. We do target to compensate that, to recover that in the remainder of the year. These are 2, I think, important assumptions we need to do.  Globally, if we look at the markets on the chart, we see a significant increase in almost all major car markets and also a strong recovery, I mean, in the truck market. So maybe in the Chinese market segment, there's only a slight increase as we had such a strong 2020. So it's not a sign of weakness. It's just the matter of fact that 2020 was already so strong.  Looking at the group KPIs for 2021, definitely, we expect a recovery of the economy having a very favorable positive stimulus on our business and further fueling, I mean, the high demand for our fantastic products. That should translate into an increase, a significant increase on the revenue side as well as on the EBIT side at the group level. We expect, I mean this is group EBIT reported, to be significantly in excess of 2020, obviously, from operational performance to which we come in, in a second, but also supported by the -- envisaged by the plant closing of the fuel cell joint venture with Volvo, which will provide, I mean, a capital gain in 2021. In the second half, I mean, related to the envisaged spin-off of the Truck group, we do expect some significant positive impacts. However, today, we cannot determine that.  Now on the free cash flow, really, I'd like to explain that, as when you see free cash flow significantly below 2021, you might wonder. So let's go through that. Operationally, in terms of cash flow performance, i.e., the cash flow before interest and to tax adjusted, 2021 will be at the same level as 2020. 2020, we had a cash conversion rate, I mean, significantly above 1, 1.2 for cars, 2 for trucks. In 2021, we will be in our target corridor, which means, all in all, close to 1. So cash flow before interest and tax adjusted will be at the same level. However, cash taxes you saw before were pretty low in 2020. And so here, we'll be back in higher cash tax zone in 2021, which will take the free cash flow down. And then in the cash flow reported, we will have, I mean, the payments in the context of the settlement with the U.S. regulators and the civil law proceedings related to diesel emissions, which we sized at more than €2 billion when we announced it in the third quarter. So I hope that gives you some color on the free cash flow.  What does it mean in terms of investments, PPE and R&D? PPE will stay at about, I mean, the same level like with 2020. R&D will go up slightly. We will invest into the key strategic fields Ola highlighted, MBOS, the NVIDIA Corporation electric drive to prepare for the future. All in all, however, as emphasized before, we will definitely stick to our midterm targets, as outlined during the Mercedes-Benz strategy update.  And on CO2, as Ola highlighted already before, in 2021, we'll be significantly below the comparable figure. Now switching over to WLTP as a new norm. And that means that in 2020, that number will sit significantly below -- 2021 will sit significantly below. And how do we get there? By almost doubling the number of xEV sales in 2021 over 2020.  Looking at the divisional performance targets for 2021. For Cars, we see them significantly above prior year. That is a function of the market recovering, but also a function of a very, very strong product portfolio in 2021. Again, S-Class, EQS coming up, EQA, the full power and portfolio at work. And when I say significantly, I'd like to remind you that, that means in excess of 7.5% year-on-year. So we are what we said in the 6th of October in the kind of, call it, half sun or fair weather conditions in 2021.  We do assume, as I said, to recover from the semiconductor situation in the remainder of the year. However, it will impact, I mean, in the first quarter. The Vans will have a slight increase in the unit sales. On the Truck side, we see a significant increase, in particular, thanks to North America, Europe, but also Indonesia.  Now if you look at the returns on sales adjusted, on Cars and Vans, we do expect 8% to 10% on an adjusted basis return on sales. How do we get there? A positive momentum, which I outlined on the volume; on the product side, with a very favorable mix with a strong pricing; and the continuation of our cost and efficiency measures into 2021. We will face, on the other side, some headwinds on the FX side, on raw materials. We'll have a bit of a step-up in the R&D, the almost doubling of the xEV comes along also with a slight dilution. On the other side, we'll have a bit of a tailwind from the extension of useful lives as we reviewed how long can we use our equipments and tools. We're now convinced that we can use them longer, and that means the depreciation will be lower. That will support the EBIT in 2021 at the group level by €800 million, the majority of that falling into the Cars & Vans segment.  On the cash side, overall, at a group level, I explained already before. So what does it mean for the cash flow before interest and tax at Cars & Vans? The target of 0.7 to 0.9, so slightly below 1. Why? A bit of working capital as we are ramping up significantly, as outlined before. And this depreciation impact, obviously, is noncash.  On the Trucks & Buses, we expect 6% to 7% return on sales adjusted. A significant volume boost will help a stronger mix from the heavy-duty segment in North America and in Europe. We'll continue our efficiency measures. On the other side, we have a bit of a FX headwind also over here. So when we say 6% to 7%, that reflects, I mean, the overall balance of risk and opportunities. And Martin, I think we can say maybe we see it rather at the higher end in terms of this guidance range than at the lower end.  Good continued discipline also on the cash conversion side in Trucks, 0.8 to 1. That ramp-up, obviously, requires also a bit of working capital and a bit of a step-up in the invest. And at the DMO, we target 12% to 13% return on equity adjusted. Here, we do assume some continued impact from the COVID-19 situation in terms of the macroeconomics, hence, on the cost of credit risk, something we're going to watch certainly throughout 2021.  So far from my side. And with this, back to you, Ola.
Ola Kallenius: So to wrap this up, 2021 will be a year of technology. You can see on this picture the Hyperscreen, which is the basis for our next-generation MBUX and software architecture. You will see more of that when we show later this spring the EQS flagship of our electric range. And as I said, on the commercial vehicle side, same thing, electrification, the path towards zero emission, trucking is picking up pace. And on the bus side, we're already in our second generation. And of course, as I mentioned, Project Focus, we will have two strong champions in their respective business here in Stuttgart by the end of the year, and we're looking forward to that new and exciting future.  And that concludes our presentation today. We'll take some questions, I believe, from Jörg. And then, as we mentioned at the beginning of this presentation, we're looking forward to taking your questions into calls following this presentation.
Jorg Howe: Thank you, Ola, thank you, Harald and thank you, Martin, for your presentations. To everyone who is watching us online, we will have ample time for your questions in the scheduled conference calls.
A - Jorg Howe: But before we start with that, I would first like to ask my colleagues some of the questions that are in my mind and I think most of the journalists and analysts as well. So Harald, you have been talking about improving the financial situation, and the results are really much better than expected. How did you do that? I mean it's unbelievable, to my mind, in a way?
Harald Wilhelm: No, it's not magic. I think it's teamwork and team sport, which we did in 2020 all together. And really, I mean I also like to thank everybody, I mean, who contributed strongly to it. Well, I mean, how could we get there? I mean markets recovered better than expected. I think sitting there in March and April, but we did not expect such a strong finish of the year in terms of the markets. A really strong demand, I mean, for our fantastic products. And we're just moving on into the sweet spot in 2021 and moving forward. But already, 2020, we see the boost from the product substance. That translates also in the market in terms of pricing and mix benefit.  I mean, here, I also like to come back to the strategy update on the 6th of October, the Pillar 2, which is profitable growth. I think the matter of fact, I mean, we saw the markets favorably, but we didn't have to push like mad to get to these numbers, and that was healthy. That was healthy in terms of pricing. That was healthy in terms of the mix. And that was, in particular, healthy also on residual values, on inventories used as well as new cars. So obviously, on the cost side, we went on the brake. We try, I think, to impose also a change in terms of culture, more cash culture in the company. And all in all, yes, with a bit of luck, all of these elements came pretty well together in the last quarter, which made us, I think, exceed the numbers the market had in mind and we issued as a guidance earlier.
Jorg Howe: Okay. Ola, there has been a lot of talk about the semiconductor shortage. Could this affect our production planning right now? Or are we in line?
Ola Kallenius: Well, that's certainly a curve ball that has been thrown at us here at the beginning of this year. And this momentum that we have on the product side and on the demand side, it feels a little bit frustrating to be restrained now by a shortage when you really could unleash the full force of this very attractive product portfolio. So in Q1, we're looking at day-to-day management, and it's still not 100% clear situation. But as Harald said, we had made the assumption that come Q2 and throughout the year, that we will be able to recover from this. I want to highlight one thing though to make it absolutely clear. When we made our plan for 2021 -- and we actually give our forecast quite a bit in advance, sometimes more than 6 months in advance or 9 months in advance. So back in Q2 of 2020, we at Mercedes, we at Daimler, we did order and have a quite bullish view on what we thought the 2021 market would be. Unfortunately, that was not translated on all the levels of that supply chain. And we will optimize that for the future, needless to say. In the decades leading up to this, we've been able to rely on it. We could not do that this time. And it was not until just shortly before New Year's Eve that some of our suppliers gave us the message that we have to live with shortages in the first quarter. But we're dealing with it, and we have a strong and flexible production team that is making the best out of a difficult situation.
Jorg Howe: Let's talk a little bit about Project Focus. There has been a lot of talk for 15 years, I believe, about spinning off the Trucks. Why do you do it now? Why do you want to split the company?
Ola Kallenius: The transformation of the automotive industry is picking up pace. We're really seeing a full-force transformation of our business. I would call it a disruption. And the industry will not look the same in 10 years from now. This is a time when agility and speed in decision-making is even more important than it's been in the past. And with Project Focus, with these 2 strong industrial groups, we want to unleash three things: full customer focus and dedication for businesses that have truly different customer groups; entrepreneurship, speed in decision making, removing the 2-tier governance that we have in our current group setup; and last but not least, value crystallization and also the opportunity for value creation. We think that there is more potential in this stock and, eventually, in both stocks. And we're eager to take on the challenge to see if we can unlock more value for our shareholders.
Jorg Howe: So let's turn to the Trucks margin. You have started the eActros series production. And at the same time, you're working full speed on fuel cells. Which technology will be more important for the Trucks in the future?
Martin Daum: I mean both are important. Both power zero-emission electric truck. The formula, I would say, the rough formula is lighter the load and shorter the distance and is more plannable the route has more the electric truck has its advantages. If you go further, if you go heavier and if you don't know where you end your trip and you start, let's say, Stockholm and go to Brussels on, and you don't know whether your next load leads you to Milan or London, in that such a case, fuel cell is a far better source for power. The benefit of electric is that you can have it in small scale on one place. It's easier to build up a solo infrastructure. The biggest challenge on the fuel cell will be to have a European-wide green H2 infrastructure. That's, in my opinion, the biggest obstacle for the final breakthrough for the fuel cell.
Jorg Howe: COVID-19 hit buses and coaches as well public transport as well. How do you see the current situation for buses? And do you have a positive outlook in the near future?
Martin Daum: Yes. And thanks for asking because that's -- when I gave the general positive outlook on the Truck side, that came a little bit under the radar. You're absolutely right, there's one area in our business that the coach business in Europe, done in our factory in Ireland, which we closed in October and haven't opened yet until now. No orders, no order backlog. Why? Because this market is hit the hardest. I would say, worse than for our own factory, it's our customers there. Yes? Because their business is completely gone because going with a coach bus has to do with events, has to do with people getting together and having fun and going places. And we all know this is at the moment in Europe impossible.  My strong belief is the very moment we all got vaccinated, we lift the travel bans, the Europeans love to go, as 1/2 will go to the hairdressers, get their haircut and everyone else jumps in a bus and go places. And then we open up the Northland factory again. And we are the market leader for coach buses in Europe and our business with so. And we have -- we are in for the long run, and we will go through. And my hard goals with our customers and with our people in those factories who are in short-term break at the moment, it's not an easy situation therefore, but we stay behind our customers and behind our workers and behind our product.
Jorg Howe: Harald, how do you see the situation with Daimler Mobility after COVID-19? Effects were strong, I believe?
Harald Wilhelm: Well, I mean the impacts were definitely strong. A significant part of the portfolio had to be restructured to help our customers. What does it mean? Basically, extend payments, but then make sure you recoup them and recover them. And I think our -- the team really, I mean, proved to be extremely helpful, however, without taking undue risk on our own balance sheet. I'd emphasize also, I mean, the net credit losses being at still a very low level compared to long-term average. And I think that spirit in terms of customer proximity, at the same time, driving the efficiency further throughout, I mean, DMO is definitely something we'll take into 2021 and beyond. And then into the 2 Daimler Mobility or Mercedes-Benz Mobility and Daimler Truck Mobility entities in the future will not lose that spirit.
Jorg Howe: Just another question on Trucks, Martin. There is a restructuring program for Trucks in Europe. Are you making progress?
Martin Daum: Yes, absolutely. Trucks Europe was a big contributor to our second half recovery. So I'm really bullish and positive about 2021. And we're doing good progress, but that's -- with any restructuring program, you want to avoid any yoyo effect, as we know from other areas in life. So we have to keep the discipline. We have to keep the focus on our business, and we have to keep nimble. And then I think we'll see very, very good results.
Jorg Howe: Ola, final question. We have seen a massive xEV ramp-up, and at the same time, our margins have improved. So can we see that this goes together?
Ola Kallenius: Well, one thing is for sure, we are absolutely dedicated to a CO2-free future. So the electrification is going to continue across the board of our portfolio. But it's not yet true that this first or, in some cases, second generation of electric products are at the same margins as is the case for the combustion-based product. So there's a lot more work to be done on the variable cost side. And many things that we're doing in terms of lowering our cost structure overall, especially the fixed cost, is to combat just that during this crossover period of many years. As we have more and more xEVs, that will improve on the margin side, but are not yet there. We need to work on other areas to compensate for that. Release cash flow, invest into the future. And when we come to the other end of transformation, not only maintain our strong position, but build upon our strong position.
Jorg Howe: Okay. Thank you very much, everyone. That ends the first part of our annual results conference. Next up, our Q&As. We will start at 10:15 a.m. Central European Time with a Q&A session for analysts and investors. You will find your access information on the invitation to this event. Just a reminder for journalists who are currently watching, your Q&A will start at 11:30 Central European Time. Thank you very much, and see you later.